Operator: Welcome to the Eltek Ltd. first quarter 2015 financial results conference call. [Operator Instructions] Before, I turn the call over to Mr. Yitzhak Nissan, Chairman of the Board and Chief Executive Officer; Roberto Tulman, Deputy CEO and Chief Technology Officer; and Amnon Shemer, Chief Financial Officer, I would like to remind participants that comments made during this conference call may contain projections or other forward-looking statements regarding future events or the future financial performance of Eltek Limited. These statements are only projections and reflect the current beliefs and expectations of the company. Actual events or results may differ materially. With that said, it is routine for internal projections and expectations to change as quarters progress. All forward-looking statements are based on information available to the company on the date hereof, and the company assumes no obligation to update such statements. Please refer to the documents the company files from time to time with the SEC, specifically the company's Annual Report on Form 20-F, its periodic reports on Form 6-K and the Safe Harbor language contained in the company's press releases. These documents contain and identify important factors that could cause the company's actual results to differ materially from those contained in its projections or forward-looking statements, which the company urges all investors to consider. Eltek undertakes no obligation to publicly release the revisions to such forward-looking statements that maybe made to reflect the events or circumstances after the date hereof, or to reflect the occurrences of unanticipated events. I will now turn the call over to Mr. Amnon Shemer. Please go ahead.
Amnon Shemer: Good morning. Thank you for joining us, and welcome to Eltek's 2015 first quarter earnings call. Presenting on today's call will be Yitzhak Nissan, Chairman of the Board of Directors and Chief Executive Officer; Roberto Tulman, Deputy CEO and Chief Technology Officer; and myself. By now, everyone should have access to our first quarter press release, which was released earlier today. If you have not received the release, it is available on our website at www.nisteceltek.com. Our call today will begin with my presentation of Eltek's financial results, followed by an overview of our business and a summary of the principal factors that affected our results by our Chairman and CEO, Mr. Yitzhak Nissan. During this conference call, we will be discussing non-GAAP financial results such as EBITDA. Eltek uses EBITDA as a non-GAAP financial performance measurement. Please see our earnings release for our definition of and our reason for its use. Revenues for the quarter ended March 31, 2015, were $9.7 million compared to revenues of $12.3 million in the first quarter of 2014. Gross profit for the first quarter of 2015 was $1.2 million, 12.6% of revenues, compared to gross profit of $1.5 million, 12.3% of revenues in the first quarter of 2014. Operating loss for the first quarter of 2015 was $108,000 compared to an operating loss of $121,000 in the first quarter of 2014. Net loss for the first quarter of 2015 was $234,000 or $0.02 per share compared to a net loss of $187,000 or $0.02 per share in the first quarter of 2014. EBITDA, in the first quarter of 2015 Eltek had EBITDA of $316,000 compared with EBITDA of $354,000 in the first quarter of 2014. I will now turn the call over to Yitzhak Nissan for his overview of our business and the key factors that affected our results. Yitzhak?
Yitzhak Nissan: Thank you, Amnon. During the first quarter of 2015 we continued to experience weakness in demand for printed circuit boards, and as a result, decline in sales to the defense sector. We have been able to soften the impact of the $2.6 million decline in sales to $12.6 [ph] million decline in sales by reducing expenses. As a result of our cost reduction efforts and the increase in the U.S. dollar exchange rate against the New Israeli Shekel, our operating loss was reduced. The operating loss reduced by $13,000 compared to the first quarter of 2014. We continue with our efforts to improve our operational efficiencies. We have been focused on increasing sales in the U.S. market where we believe customers perceive our products, as having both high reliability and top quality. Incoming orders from the U.S. during the first quarter of 2015 increased by 11% compared to the first quarter of 2014. We believe that as a result of the increased marketing activities and our recent expansion of our sales force in the West Coast, we will be able to increase our U.S. sales this year. The equipment that we recently purchased has been installed and already offers us increased operational flexibility and improved product quality. Based on those steps, I am optimistic regarding the company's ability to return to sustainable profitability in the future. We are now ready to take your questions.
Operator: [Operator Instructions]
Operator: There are no questions at this time. Before I ask Mr. Nissan to go ahead with his closing statements, I would like to remind the participants that a replay of this call will be available tomorrow on Eltek's website www.eltek.co.il. Mr. Nissan, would you like to make your concluding statement. End of Q&A
Yitzhak Nissan: Thank you all for your participation and your interest in Eltek. We hope to see you all in our future events. Thank you.
Operator: This concludes the Eltek Ltd. first quarter 2015 financial results conference call. Thank you for your participation. You may go ahead and disconnect.